Thierry Huon: Okay, good morning, everyone. Thank you for being with us this morning for the Third Quarter ‘21 conference call broadcast live and available in replay versions on our website. As usual, the presentation file and press release for this call are available in the finance section of our website. I would like to point out the disclaimer on slide two of this pack regarding the information contained within this document, and in particular about forward-looking statements. And I invite all participants to read this. Clotilde Delbos, Deputy CEO and CFO will make a 10 minute presentation followed by a Q&A session. If we don't have the time to take everyone’s question in this session, the IR team will be around to take your calls later. Clotilde, the floor is yours.
Clotilde Delbos: Thank you, Thierry. And good morning, everybody. This quarter again, the hot topic has been the chips availability, which has been worse than anticipated. On top of the existing tensions on the supply chain in H1, came the lockdown in Malaysia, which added a layer of disruption to the supply chain. This led to a more severe chip shortage than the one we were anticipating at the end of H1. We estimate that we have lost about 170,000 units in the quarter. On top of the more than 200,000 units already lost in H1. The visibility for Q4 remains very poor, as the information we get from our supplier is to say the least very unreliable. Our best guess for the full year is now lost close to half a million units. Despite this context, our recently launched products are encountering a strong success leading to a record level order book, especially for Sandero, Arkana and LCVs. To mitigate the negative impact of the chip shortage, we have continued and even accentuated our proactive policy regarding cost cutting, and the commercial discipline. Even if, as I often remind you quarterly reports are not about results, I can tell you that our cost cutting activities have been amplified. And we have no doubt about the 2 billion savings should be achieved in a few weeks. We have also continued our commercial policy, aiming at maximizing the value of ourselves and prioritize our allocation in function of models and markets profitability. Despite lower devaluation in emerging countries and a high comparison base, we have been able to continue to post price increases and to show a positive impact of 2.9 points on the revenues. These actions are clearly the drivers allowing us to confirm today the guidance for the group's operating margin and to target the positive operational automatic free cash flow before working capital development for the year. It is unusual for us to give you a free cash flow target before working capital, but I'm sure you would understand that in the context of extremely weak visibility for chips availability for the last quarter working capital swings are quite unpredictable. This concludes my opening remark. Let me now give you some comments on our commercial performance. We registered 600,000 units in the quarter, a 22.3 decrease over last year. This fall is largely due to the chip shortage that have limited our production and therefore ourselves. Sales in Europe and Eurasia have been particularly hit by the production issue, while the other region resisted better. Renault brand sold 366,000 vehicles, a decrease of 24% reflecting the shortage of components, and also the willingness to favor profitability over volume in the context of decreasing demand for C segment legacy products. Dacia did much better with a decrease limited to 11.2% at 138,000 units. This is the result of the success of the Sandero, which has been prioritized in terms of chip allocation at the expense of other models of the group. Lada sales were down 27% due mostly to the lack of production in Q3 after a relatively good resistance in H1. Before moving to the revenue figures, I would like to make a few comments about the success of our recently launched models. Arkana is doing much better than initially expected with more than 41,000 units order since March and I think it's fair to say that it is quite a big success. After the huge success of New Sandero, the Duster phase two is also enjoying a strong start that confirms that this vehicle has no real competitors. Last but not least, we are particularly pleased by the warm reception of Dacia Spring which is the most affordable BEV in the European market. Finally, I would like to stress the strong demand for our LCVs for which we have an order book representing almost four months of sales. As you know since the presentation of Renaulution, we have put a strong focus on our pricing and on the quality of our sales. You can see from the charts on the right hand side, the price impact on our revenue development. It is on a four quarters moving average basis, we show the global impact but also the one addressed it for the Forex compensation using the rule of thumb of 70% of the FX impact. And I think this charts speaks for itself. At the bottom right of the slide, you see the steady progression of our electrified business in Europe, which is at almost 20%. On the back of this achievement, we can confirm that we're on track to reach our CAFE target at the end of the year. We have adjusted our market forecasts for the full year in the light of the latest development of the chip shortage. For the European market, we anticipate a flat volume, when our previous estimate were at plus 10%. We cut our forecast for Eurasia from plus 10% last to 5% now, while for Latam, we stand at plus 10% versus plus 15% previously. And as I said in my opening remarks, we confirm our guidance for the group's operating margin and target a positive auto free cash flow before the impact of working capital. You can see on slide nine the change in the third quarter revenues compared to last year. Group revenues decrease 13.4% to €9 billion in the quarter. At constant exchange rates and parameter, the decrease would have been 14%. The contribution from the automotive division excluding AVTOVAZ decreased 14.1% to €7.7 billion. AVTOVAZ contribution was down 19% at €0.5 billion in the quarter with a positive impact of the ruble. At constant exchange rate and parameter, revenues would have been down 23.9%. The contribution from sales financing was flat compared to last year at €0.8 billion. And I will now begin the revenue of the automotive division on slide 10. From left hand side, the first item currency is the positive by 0.3 points this quarter, with Brazilian real, British pound and Russian ruble turning positive. The second bucket is the market impact on our volume development, which impacted negatively by 7.6 points as a consequence of the chip shortage worse in Q3 than in H1. The next one, the group's performance in terms of volume development has a negative impact of €1.1 billion. The chip shortage has prevented us to fully benefit from the success of new models, and we have suffered from lower demand on our aging product. It is also the consequence of our strict commercial discipline. We are indeed refocusing the Renault brand business on the retail channel. In Europe for instance, we have gained six points in the quarter in this channel compared to the pre-crisis level of Q3 2019. Geographic mix is a negative by 1.4 points impacted by a lower drop in ourselves in our international markets where the average price is lower than in Europe. The product mix effect positive by 1.6 points in the quarter is reflecting the success of Arkana and the good performance of our LCV sales. The price effect was positive by 2.9 points. On the one hand, the proportion of price effect related to currency compensation was lower this quarter compared to the previous quarters, and on the other hand, the comparison basis is becoming each quarter more challenging. In addition, we have had the negative impact of the chip shortage on the enrichment invoiced to customer. Nevertheless, price are still improving as we continue to implement our deliberate more ambitious pricing policy. The sales support in our item was negative 1.2 points in the quarter. This came mainly from lower sales of diesel engines to Nissan and Daimler in the context of the chip shortage. The last item, others impacted positively for 3.7 points. The bulk of this is due to the impact of the retreatment of sales with buyback commitment, which was significantly lower than in Q3 2020. I remind you that last year, the seasonality of the business was short term rental car companies was cued towards Q3 due to COVID when the strong season is usually Q2. It also reflects our willingness to read favor retail business. Regarding RCI, in terms of activity during the quarter, average performing assets stood at €44.4 billion euros down 3.2 points. It is clear that the financing activities have been impacted by the lack of cars due to the chip shortage. This is illustrated by the number of new retail and fleet contracts underwritten by RCI bank, which has decreased by 24.1% versus the same period in 2020. But the amount of new financing decreased only by 15.5% at €4.3 billion, thanks to a higher average amount per contract. Finally, our stocks went down in the quarter to 340,000 cars at the end of September, where we were at 427,000 at the end of June 2021. As you can find, as you can see from the slide, the decrease came from the independent dealer inventories. But even if the group's inventory shows an increase, this is mostly coming from unfinished cars due to the lack of chips, and to the ones being in the logistic pipe. I think it is worth noting that the order book is at 15 years record high level and stand at 2.8 months of sales when we're -- when we are targeting two months in average. This concludes my presentation. And I'm now available to take your questions.
A - Thierry Huon: Thank you, Clotilde. [Operator Instructions] So I think the first question is from Horst Schneider from Bank of America. Horst?
Horst Schneider: Sorry, can you hear me?
Thierry Huon: Yes, of course we can hear you.
Horst Schneider: All right. Excellent. Thank you. Hey, yes, thanks for taking my questions. Much appreciated. The first question that I have relates again, to the shortage, not that much to semiconductor shortage, also shortage to other materials. If you see any shortage, for example, on magnesium aluminium is that included also in your production guidance. And then when it comes to costs, of course, the main concern is that you cannot pass it on by a pricing. So same concern was also expected for Q3, a higher price impact. So I mean, you reiterate the full year margin guidance. I think that's a great sign. But especially looking into next year using you can pass on the rising raw met costs with higher prices. Thank you.
Clotilde Delbos: Thank you, Horst. On other material so far, what we see is mostly price increase, not that much shortage for the moment. And hence that we have no specific shortage in our guidance, because as I as I'm saying, we haven't seen that yet exactly. Where it's more tense is freight and container availability, but not necessarily raw material at this point of time. So that's for the first part of the question. On the cost and the pass through, we have done quite a lot even if it doesn't show because we used to you have now already used to a huge numbers regarding price increases, but that we have continued to increase prices. Obviously we don't benefit this quarter from the price increase in emerging markets because there was less movement on the on the exchange rate. But everything else that we had started in the past, version mix, allocation to cars with the most demand, the most profitability and also the electrified cars, we're going to continue. And if we regard further down to 2022, same thing, it's going to continue. We, we also expect competition to continue to increase prices because everybody is facing the same difficulties in terms of energy price, in terms of raw material, in terms of enrichment of the cars in order to electrify them to comply with regulation in terms of safety and emission. So our view is that the market trend is going to be to continue to increase prices. Now, I don't believe that we're going to be able to pass on the 100% that for sure. And that's the reason why we are continuing to put pressure on our own efficiency. Be it on the fixed costs, as you have seen, I mentioned that we're going to be continuing reducing fixed costs, but also on the efficiency of our own operation in terms of cost reduction. So we believe it's going to continue to increase in the pre -- in the following year, not sufficient to cover the whole thing. Hence all the efforts on what we have in our hand i.e. productivity.
Horst Schneider: Can you give any anecdotes that you've increased list prices recently. I remember Volkswagen said they're raising prices globally where something like 4% in October, can you can you give us a similar anecdote maybe?
Clotilde Delbos: Well, we don't look at it globally within Renault, we look at it model by model. I know that the Dasia car have increased again their prices. And same with Renault. We continue to increase prices where we can. But specific anecdote is, is difficult to say LCV also quite a lot. Arkana in view of the success is also being increased in their prices. So all every way we can we do it.
Horst Schneider: Alright, much appreciated. Thank you.
Thierry Huon: Thank you Horst. So the next question will be from Jose Asumendi. Jose, please open your mic.
Jose Asumendi: Good morning. This [Technical Difficulty] 
Thierry Huon: Jose, we cannot hear you. The line is not good.
Jose Asumendi: Cash Flow? Capital...
Thierry Huon: Jose, I'm sorry. I'm sorry, the line is really bad. It's not possible to understand what you are saying.
Jose Asumendi: Can you hear me now?
Thierry Huon: Yes, it's better.
Jose Asumendi: Okay. Good morning, Clotilde. Just three questions, the first one Clotilde, can you come back again to the free cash flow, especially I think in the light of the news of disruption. When you look at the business, what do you think is moving in the right direction to confirm again, the guidance and specify that free cash flow, excluding working capital is going to be positive for the year? That will be the first one. Second, can you confirm or indicates or at least in guidance in terms of the restructuring cash outflow second half versus the first half? Are we expecting a higher restructuring cash outflow in the second half versus the first half? And then three, you mentioned you're upping the cost cutting plan. Can you give us any details, please in terms of announcements for 2022? Thank you.
Clotilde Delbos: Okay, Jose. So on the free cash flow, what make us comfortable that we're going to be able to reach the free cash flow, positive free cash flow for the year, excluding working capital. Well, several things. First, as I mentioned, our fixed cost reduction is going ahead of plan. We're almost there. We're going to be there in a few weeks. In terms of the 2 billion that we announced for the end of 22, again, it's going to be rich this year, by the end of 2021. Pricing is going up every type of cost, which is under control where we're going to be is moving in the right direction. So already in the first half, you saw that the EBITDA was covering the investment. So it's going to continue that's the intent plus, remember, we got the billion from RCI, that's going to help and that's the link to your second question. Cover restructuring costs, financial and taxes. So that is our assumption sufficient margin to cover investment, and the restructuring covered by the RCI dividend. Even though it's not an earnings call, I'm going to mention that we expect H2 restructuring to be slightly above H1. That again will be covered but slightly you know and will be covered by the RCI dividend. On the cost cutting plan. Remember what we said during the Renaulution plan, we said 2 billion by 2020 to 2.5 billion by 2023 and 3 billion by 2025. As we're going faster on the on the first step, the intent is to go faster on the second step. Now whatever is going to be 2022 we'll be announcing in due time but our intent is indeed clearly to continue to go a lot faster than what we had in place first because the momentum is there. We are pushing yes, but also new ideas are coming every day on the table. And second, because again it was the lack of volume due to chip shortage and everybody knows that is not is not going to stop on December 31 is going to linger in 2022. I think it's good management to continue to curb your fixed costs in order to make sure that you have a lower breakeven point. So that's the strategy we announced and we're following it by the letter and even faster as I said already, pretty proud of what the team is achieving actually because it's a big effort, but it's coming in very good. Remember also that during this cost reduction there is a lot of variable what we use to call, what we did call variabilization, reviewing the perimeter of our internal dealer and footprints in some geographies and this in progressing well also.
Jose Asumendi: Thank you very much.
Thierry Huon: Next question from Thomas Besson. Thomas, open your mic.
Thomas Besson: Thank you. Good morning. It's Thomas Besson. I’ll ask a couple of questions. On free cash flow still, Clotilde, can you just help us on what kind of CapEx you, you plan to spend, I assume it's it might be done versus the initial expectations given the volume constraints? And can you also confirm that the free cash flow, you're indicating the guidance includes the RCI dividend? So that would be the first question. And the second is a bit more commercial. You've talked about a recall the order intake in Europe recipes is great. Can you talk a bit about the content of that order intake is up essentially focused on the new rules? And can you talk about BEV volumes for this year and next and the timing of new models, whether it's impacted or not by the semi shortage? Should we think maybe, that the Megane is eventually go in Q2 and Q1 or Q3 than Q2, I don't know. Or can you keep the same timeline when you had expected before these various constraints? Thank you.
Clotilde Delbos: Okay, on CapEx? First on CapEx and R&D I want to remind everyone that all the effort we're doing is not at the expense of the line-up. We're not postponing any car. We're not yes, we're not postponing any car. Everything that has been decided and announced during the Renaulution plan is on track, and is moving forward. Now to on the CapEx specifically, obviously, yes, it's going further down than expected. And that's part of the of the fact that we're going faster on the R&D and CapEx target. We expected to be you know, we said yes, it's going to be lower than 2 billion for the first for the second for the full year. So I think it's all I can say for the moment. RCI dividend indeed is in is included. That's what I said before to Jose that basically, what we see is that investment are going to be covered by EBITDA. And because of the big amount of our restructuring, this is going to be covered by RCI. RCI dividend has always been including in the free cash flow since the beginning of our announcement on free cash flow. So it's in. Now on commercial. Yes, it's a record order intake. I think most of it is on the new model. And as you mentioned, as we mentioned. For example, today, if you wanted Sandero, you have almost six months, waiting time to get the Sandero. Oh, so it's a huge success. You also, as we already mentioned, there's a big waiting list on Arkana, there's a big waiting list on LCVs. So those are the cars which are the most in demand. So that's what we are. We are working on also just our phase two, as I mentioned already is working pretty well. And we are very happy actually about that. It's true that our more legacy, as I mentioned in the speech, our more legacy cars are in less demand. Let's put it that way. On the timing of the cars to come next year. The biggest one obviously is Megane which will arrive in the first half. And then in the second half, we should have the new Catterall coming in. Those are the two main elements for next year. On the volume of BEV I'm not sure we gave a global volume indication. It's advisory the question is on BEV pure or is it on EV plus electrified?
Thomas Besson: Yes, it was on BEV pure Clotilde. And also the question on the [Indiscernible] was not linked with your decision to do anything but more on the impact of semi and that may lead to…
Clotilde Delbos: Yes, sorry, I missed that part. Yes. On the on the on the delay, which would be linked to semiconductors? No, we don't expect any delay because everything we receive we favor and we can we ensure the launch of the new volume. When we make the allocation of whatever chips we have. We really, as I said several times in the past we do favor higher profitability, higher demand, BE electrified cars and I forgot to mention you’re right that we do protect the launch of the new cars. So every time that we need some chips in the new cars in order to make the test, the amologation [ph], etcetera, etcetera, we favor that. And we're going to ensure that we don't delay the launch of the cars next year, for many reason but also because, we expect Megane to be a big success. So we have we want to protect it because when we see the reaction of the presentation of this car in Munich, and since then in test drive, in presentation to, to a lot of corporates and people, the reaction is extremely good. So there would be no reason for us to try to make to put in venture the launch of this car. In the volume of BEV, we are in line with what we had in mind. That's the reason why we are we are quite comfortable in terms of confirming the CAFÉ achievement, despite the fact that it's still an old car, it's already an old car compared to competition, we did have more than 8000 orders in September. So it does show you that it's quite, it's quite going well, despite the fact that there is a lot of new competition in the market, it's still going very well. Twingo has a good performance. And as I mentioned also, the welcoming of spring is very good. So that's the reason why we're very comfortable. And now on terms of electrify, maybe I could say a word or two. We're very positively surprised by the high percentage of electrified vehicle in some of our car lineup. For example, Arkana if my memory is not, is correct, it's almost to third, for Arkana, in terms of HEV and for the rest for Clio and the others in terms of electrified version, it's a third. So it's a it's quite, it's quite, very good in terms of version mix, if I may say, between electrified and ice car in the cars, which have the various technology available.
Thomas Besson: Thank you Clotilde.
Thierry Huon: Thank you. So we will move on to the next question. George, the floor is yours. Please open your mic.
George Galliers: Thank you. And thank you for taking my question. I just wanted to follow up a little bit on some of the facts that have all been already been raised. The first one is obviously in light of a much bigger semiconductor impact, which is out of your control. And you have reconfirmed that guide. But is it fair to say that the second half looks less strong to you today than what you had anticipated for the second half back in July? And can you magnify the scale of the impact on the earnings as a consequence of the semiconductor shortages? And then the second question was around the free cash flow. Obviously, it is good to hear you will be free cashflow positive ex working capital. But for the first half, I calculate you had 314 million positive ex-working capital, you've also received the RCI dividend. So in theory, that statement could be true, even if you were to burn close to 1.2 billion ex-working capital in the second half. Now I know that's the mass. Is it fair to say that that's not what you are foreseeing at this point in time?
Clotilde Delbos: Okay, thanks for the question. On the first one, yes, obviously, when we announced the when the H1 result at the end of July, we had as an assumption that we would lose around 20 200,000 full year, which is what we had already lost plus or minus in H1. Now we announced something close to half a million. So obviously we do see an impact. You just have to multiply by an average turnover per car, the amount that you know of cars that we're going to miss so you're going to have whatever we do an impact on the turnover there is that's mechanicals that mathematical. So obviously we are comfortable in terms of confirming the guidance because of all the rest we're doing in terms of cost reduction, you know, and things like that. But obviously you know me I'm always on the conservative side. And by nature, I have less room of manoeuvre today than I used to have in the month of July, right. I mean, that's, that's my obvious you lose a quite a lot of cars. We even though we optimize the revenue, even though we reduce the cost further, there is less room of manoeuvre by nature. So that's for the, the first question, but you know me also, if I do confirm the guidance is because I'm comfortable, we're going to make it right, maybe less comfortable, but I am comfortable clearly confirming that. Now in terms of the cash flow, I'm not going to do the math, I'll let you do the math, but obviously if you have less turnover, less margin, you have less EBITDA. But as we said, we confirm that the EBITDA is going to be sufficient in order for us to have a free cash flow which covers which is positive. So basically, we have a little more restructuring a little less of this, a little less of that and the RCI dividend. But globally, the equation takes into account the fact that we're going to lose potentially upto 300,000 cars more than what we had in mind six months ago. That's, that's for sure.
George Galliers: Great, thank you very much.
Thierry Huon: So next question will come from Dorothy Cresswell [Ph]. Dorothy please open your mic.
Unidentified Analyst: Hi, Thierry, can you hear me?
Thierry Huon: Yes, we can hear you Dorothy.
Unidentified Analyst: Terrific. Okay. Hi, there. And thanks for taking my question. Really just a housekeeping one. And I wondered whether you could give us any help with how much cost headwind, we should expect from raw materials, and obviously also freight and energy for the second half of 2021. And then looking into 2022, assuming that the pricing doesn't change from here on. Thank you.
Clotilde Delbos: Well, may I remind you, it's not an earnings call. So, by the way, we gave some indication at the end of each one of the costs headwind. Well, we don't change it. I think in our view, there isn't there. If despite what we see on the market, because of the time lag, before it hits the P&L, there is no reason to change any indication on the cost headwind for the second half. And for 2022 I guess we're going to have to wait a little more, because we're in the process of negotiating some contracts, long term agreements, etcetera, etcetera. So I think it's too early to provide a vision on the 2022 cost impact before we have the final view of the balance of everything.
Unidentified Analyst: It’s very helpful. Thanks Clotilde.
Thierry Huon: Next question from Pierre-Yves Quemener. Pierre-Yves floor is yours.
Pierre-Yves Quemener: Yes, good morning, Pierre-Yves with Stifel. Tough two question if I may. Just a quick comment from the production lines. If you take the situation on the semis from a mid-October perspective, are there any signs or evidence of things improving versus what you had let's say early September that would be the first question?
Clotilde Delbos: Well, yes, there are you know that actually the surprise that made us review the guidance in terms of semiconductor impact, which we didn't have at the end of July as an information is the big impact of COVID in Malaysia which put the country into lockdown for quite a few weeks during the summer. And this again disrupted the supply chain in terms of semiconductor. This is now over the plants. The plants are back turning and that is the reason why we believe that these five week lock down being over we should go back to more normal grounds. You have the normal two months lag between what happened in Malaysia and what comes to your plan. So that's why the strongest hit months were September and October and we do plan on having less constraints in terms of November December. That's that's for the moment of visibility for what it's worth that we have.
Pierre-Yves Quemener: Okay, so if I understand you correctly, November should be the make or break month to really gouge if things have improved in your production lines, right?
Clotilde Delbos: Yes.
Pierre-Yves Quemener: Okay, and just just a quick one, on the bridge on the on the famous other effect, which is a positive tailwind of 3.7 points in the in the quarter. I totally appreciate that. It's not an earnings call, but usually, the driver is it earnings neutral, is it earnings positive or what can we say about that revenue drivers filtering through the bottom line?
Clotilde Delbos: Well, it's it's what? It depends what is in. In this case, this month is most this quarter. So it's mostly buy back retreatment. And there is no reason why this not would not be a positive impact also on the bottom line.
Pierre-Yves Quemener: That's very clear. Thank you.
Clotilde Delbos: You're welcome
Thierry Huon: So is there anyone would like to raise a question because I've seen no one on my list. So it looks like there is nobody in the list. So in this case, we will close the call now, and we will leave you for those being in Italy to enjoy your stay there. So thank you very much for being there with us this morning. And if you have further questions, feel free to call us whenever you want today or next week. Enjoy your day. Bye.